Operator: Good morning, and welcome to Priority Technology Holdings Third Quarter 2022 Earnings Call. All participants will be in listen-only mode. [Operator Instructions] Please note that this event is being recorded. I'd like to turn the call over to Mr. Chris Kettmann. Please go ahead.
Chris Kettmann: Good morning and thank you for joining us. With me today are Tom Priore, Chairman and Chief Executive Officer of Priority Technology Holdings; and Tim O'Leary, Chief Financial Officer. Before we give our prepared remarks, I would like to remind all participants that our comments today will include forward-looking statements, which involve a number of risks and uncertainties that may cause actual results to differ materially from our forward-looking statements. The company undertakes no obligation to update or revise the forward-looking statements, whether as a result of new information, future events, or otherwise. We provide a detailed discussion of the various risk factors in our SEC filings and we encourage you to review these filings. Additionally, we may refer to non-GAAP measures, including, but not limited to EBITDA and adjusted EBITDA during the call. Reconciliations of our non-GAAP performance and liquidity measures to the appropriate GAAP measures can be found in our press release and SEC filings available in the Investors section of our website. With that, I would like to turn the call over to our Chairman and CEO, Tom Priore.
Tom Priore: Thank you, Chris, and thanks everyone for joining us for our Third Quarter 2022 Earnings Call. I would also like to personally welcome Tim O'Leary, who was named CFO in September. We are excited to have him on the team. We once again delivered excellent quarterly results, reporting strong revenue and EBITDA growth during the period. Our third quarter revenue increased almost 26% from the prior year to a record $166.4 million, which led to a nearly 50% increase in gross profit to $58.5 million and a 48.7% improvement in adjusted EBITDA to $35.1 million. These results were fueled by a 510 basis point expansion in gross margin to 35.1%. Operating income of $14.1 million increased nearly 70% from the third quarter of 2021. As you can see on slide four, our strong Q3 results extended the positive momentum we've been seeing throughout the year. On a year-to-date basis, total revenue was up 31.1% to just over $486 million and grew organically by 12.7% in the third quarter and 17% on a year-to-date basis, excluding the impact of the Finxera acquisition. Gross profit increased by 56% to $165.9 million and adjusted EBITDA was up over 60% to $100.5 million through the first three quarters of 2022. Year-to-date, gross margin of 34.1% increased 540 basis points from 28.7% we reported in the first nine months of 2021. Tim will go into the segment level detail on our third quarter results shortly. Before he does, let's look at slide five and some of the company's aggregate performance statistics. Our unified commerce platform efficiently serves the SMB, B2B and enterprise payment segments at scale, supporting over 254,000 active SMB merchant accounts, more than 420,000 active bank deposit accounts, and is processing total annual payment volume of over $110 billion, with more than 80% derived from integrated software connections. Our sophisticated technology solutions, balanced operating segments and industry-leading customer service, continue to resonate with the market and we're proud of the results we're delivering. For those of you who are new to the company, slide six highlights how our proprietary unified commerce platform is purpose-built to collect store and send money, combining robust payments and banking functionality to monetize the merchant networks we serve. Our customers continue to reinforce our belief that systems combining features of both payments and banking to accelerate cash flow and distribute funds in multiparty environments will be critical, as businesses put greater demands on software and payment solution providers. To position ourselves to benefit more quickly from this trend and the continued rise in interest rates, we made the decision to accelerate our investment in our banking product initiatives and operating resources. This will result in modestly higher-than-estimated operating expenses in the back half of this year. Consequently, we are forecasting a revision in our full year adjusted EBITDA guidance. While we still expect to achieve full year revenue of $650 million to $665 million, we anticipate our adjusted EBITDA will range between $140 million to $145 million versus our initial guidance of $145 million to $150 million. We believe accelerating the future development of our native Priority passport offering to deliver a full suite of proprietary payment and banking solutions into the SMB and B2B markets and enterprise partners, particularly in the current interest rate environment will result in outsized benefit to our shareholders in the coming years. Our largest segment SMB payments continues to do incredibly well, reporting 9.2% year-over-year bankcard volume growth and revenue growth of 12.1% in the third quarter. As we've done in the past we compiled the table on slide 7, highlighting the aggregate growth rates of the top five non-bank merchant acquirers in the US. As you can see, Priority remains on a meaningfully higher aggregate growth trajectory than all of these peers. Even by purely organic growth measures, we outpaced our peer group, proving our forward-looking acquiring products and thoughtful investment in vertical markets continues to resonate with customers and it's a significant competitive differentiator. Moving on to slide 8. B2B payments again reported strong results as it continues to add new partner channels on the strength of our CPX product. For the third quarter our B2B segment delivered year-over-year revenue growth of 16.5%, a gross profit increase of $600,000, and gross margin expansion of 410 basis points compared to the prior year quarter. This growth occurred despite the expected wind-down of a large managed service customer, which we discussed on our last earnings call. Priority's significant investment in our CPX product continues to pay off evidenced by the sizable pipeline of business opportunities we've announced throughout the year with CPro Systems [ph], Intalere, Premier Healthcare and Century Bank among others. Lastly, our Enterprise payments segment, which provides embedded payments and banking solutions to our partners, reported quarterly revenue of $21.7 million and gross profit of $20 million. Total payment volume and build clients continues to grow along with increased deposit balances and the rates on those deposits. Although, prior year comparisons are not especially meaningful given our acquisition of Finxera in September 2021, the sequential growth from Q2 2022 to Q3 2022 was 16.3% for the top line along with 17.4% increase in gross profit. Our strong performance trend continued to reinforce the countercyclical strength of the existing platform and reflect additional wins in sectors like real estate and construction and treasury software systems. Before wrapping up, I would be remiss if I did not address the increasing probability that we are headed into a prolonged economic downturn, fueled by higher interest rates, continued inflationary pressure, supply chain disruptions and volatile geopolitical events. Unlike many of our peers who are retrenching, cutting resources and reducing investments, we are accelerating our initiatives in new revenue channels that are early in the conversion cycle to digital payments and others poised to benefit from current and future higher interest rates and an inflationary environment. Priority will continue to build with intention, while remaining leading and positioned to invest purposely in our unique and diversified business platform that continues to operate from a position of strength regardless of broader economic cycles. At this point, I'd like to hand it over to Tim who will provide further insight into our performance during the quarter along with current trends in each business segment.
Tim O'Leary: Thank you, Tom, and good morning everyone. Before I get into my prepared remarks, I want to take a moment to thank everyone at the company who has welcomed me into the Priority family. I look forward to accomplishing great things with this outstanding team in the years ahead. I also want to thank Mike Vollkommer for being an invaluable resource to me over the past several weeks as I transitioned into this role. I'm sure he's listening. So Mike thank you for all that you’ve done to have a positive impact on the company and I hope you enjoy your well-earned retirement. Now moving on to the task in hand. As I review the segment level contribution to the consolidated third quarter results, please refer to the supplemental slides or the MD&A for further details. Our MD&A is included in the Form 10-Q that was filed with the SEC this morning and provides a discussion of our comparative third quarter and year-to-date results. A link to that filing can also be found on our website. As Tom mentioned, we've had strong financial performance across all business segments in the third quarter and for the first nine months of 2022. Looking at slide 10, SMB payments revenue of $139.9 million increased 12.1% over the prior year driven by bank card dollar volume growth of 9.2% to roughly $15.1 billion, 8.3% growth in bankcard transaction count and just under 1% growth in average ticket size. Average merchant count of just over 252,000 in the quarter grew 6.1% from the prior year. This growth was driven by strong merchant boarding trends where new monthly merchant boards averaged over 5,000 per month throughout the quarter. That is modestly higher than the historical monthly average of about 4,500. Looking at slide 11, B2B payments revenue of $4.9 million in the third quarter of 2022 increased 16.4% from the third quarter of 2021. That was the result of 68.8% growth in CPX as strong volume trends from existing customers combined with the addition of new customers drove a $1.1 million increase in revenue for the quarter compared to last year. That growth in CPX was partially offset, by a decrease in revenue in managed services which was driven by the continued wind-down of certain business with a customer that is migrating from the platform. As we move through Q4, we will see this revenue figure continue to decline to nominal levels. Moving to the enterprise segment, Q2 revenue of $21.7 million was an increase of $18 million from $3.6 million in Q3 of 2021. As a reminder CFTPay was acquired in late September of 2021 and it was the full quarter effect of results from CFTPay in 2022, that drove most but not all, a big dollar growth in the enterprise segment. While the year-over-year comparison for enterprise is difficult given the CFTPay acquisition late in the third quarter of 2021, I did want to note that on a sequential quarter basis we also saw strong growth in enterprise, with increased enrollments, increased number of billed clients and rising interest rates all contributing to over 16% growth in revenue compared to the second quarter of 2022. Moving to slide 12 and gross profit which is on a non-GAAP basis. We saw $58.5 million of gross profit which increased 47.4% from $39.7 million in the prior year. Within that SMB gross profit of $35.5 million increased by 3.3%. B2B gross profit of $3 million increased 24.6% and enterprise gross profit of $20 million increased by $17 million from $3 million. Consistent with the comments that I made on the comparability of revenue for the enterprise segment, we also saw a strong sequential quarterly growth in Q3 with gross profit increasing 17.4% over the second quarter of 2022. Moving to gross profit margin on slide 13, gross profit margin was 35.1% and increased 510 basis points from Q3 2021 levels. The results of B2B and enterprise drove the overall margin expansion and significantly more than offset a 220 basis point decline in SMB margins. As discussed on prior calls, the margin pressure in SMB has largely been the result of mix-related shifts where our larger ISO partners are driving faster growth but they also operate with higher commission rates. On slide 14, other operating expenses of $44.4 million increased 41%. This change is primarily driven by increased expenses in the business, resulting from the CFTPay acquisition in Q3 2021, combined with continued investments in the business to support the strong growth. Salaries and benefits of $16.4 million increased 37.8% from $11.9 million in 2021, as a result of both wage increases and an increase in head count. The head count increases were mainly driven by the acquisition of CFTPay in 2021, but we also added additional head count this year in connection with our growth initiatives. SG&A of $10.2 million increased 41.7% from $7.2 million in Q3 2021. Again, acquisition-related increases along with continued investment in business expansion drove that level of growth. Depreciation and amortization of $17.8 million for the quarter increased by, $5.4 million from $12.4 million last year, primarily driven by the 2021 acquisitions. On slide 15, operating income for the quarter of $14.1 million, increased about 70% from $8.3 million in 2021. Within that SMB operating income of $13.4 million decreased by $1.2 million due largely to a $1.7 million increase in salary and benefits due to higher head count and stock-based compensation along with a $0.7 million increase in SG&A expenses. Those increases were partially offset by other operating efficiencies. As mentioned, the increase in head count and SG&A expenses were largely attributable to growth initiatives within the company. B2B operating income of $200,000 increased from breakeven levels in 2021, driven by increased revenues combined with operating leverage that allowed for margin expansion despite the previously discussed and expected decline in the revenue from a large managed services customer. Enterprise operating income of $9.3 million increased by $8.1 million, from $1.2 million in 2021 consistent with the discussion on revenue and gross profit for this segment sequential quarterly growth in Enterprise's operating income was also strong with an over 60% increase from Q2 to Q3. Corporate expense of $8.9 million was up from $7.6 million in Q3 2021 again largely tied to acquisitions and growth investments in the business. Adjusted EBITDA for the quarter was $35.1 million which increased 48.7% from $23.6 million in Q3 2021. As you look at the EBITDA walk on this slide, the largest items added back to consolidated income are obviously interest expense and depreciation and amortization Interest expense of $13.4 million is an increase of $5.3 million from Q3 2021 levels, given the combination of the full quarter effect of the higher comparative debt balances for Q3 2022 compared to Q3 2021 along with the impact of the rising interest rate environment given the floating rate nature of our debt agreement. On that topic, I would note that, we do have a natural hedge in place for part of our floating rate debt, given the interest income which is generated on the deposits in the enterprise segment have also benefited from the rising rate environment. The further adjustments derived at adjusted EBITDA include non-cash stock compensation of $1.1 million and approximately $1.9 million of other adjustments, which consists of certain noncash or nonrecurring expenses. On slide 17 and moving to our outstanding debt, you'll see that our debt levels have continued to decline. Total debt of $618.3 million at September 30th, 2022 includes a $10 million reduction since the end of Q2 of this year. This reduction is net of continued investments in the business and also after repurchasing 2.6 million of PRTH shares during the quarter. Net debt of $605.2 million declined by approximately $1 million from $66.1 million at the end of the second quarter. The reduction in net debt was less than the reduction in total debt due to lower cash balances at the end of the quarter. From a liquidity standpoint, we had $34 million of borrowing capacity under our revolving credit facility in addition to $12.7 million of unrestricted cash on the balance sheet at quarter end. On Slide 18, the senior preferred stock on our balance sheet totaled $225.1 million at September 30th and is net of $21.9 million of unaccreted discounts and issuance costs. The second quarter preferred dividend of $9.7 million is comprised of $4.6 million paid in cash and $4.2 million of a PIK component. This is supplemented in our income statement with the accretion of discounts and issuance costs of approximately $800,000. Before turning the call back over to Tom, I wanted to further address our revenue and adjusted EBITDA guidance for the full year. Consistent with our commentary during the Q2 2022 earnings call, we remain confident in our ability to achieve our full year revenue guidance of $650 million to $665 million. However, given our strong organic growth we have continued to make investments in the business, which includes both people and technology to support that growth. We have also accelerated certain product development activities, which will allow us to bring a full suite of banking-as-a-service capabilities to the market sooner. As a result, we are adjusting our full year adjusted EBITDA guidance to a range of $140 million to $145 million from the previously provided guidance of $145 million to $150 million. The reduction in our adjusted EBITDA guidance does not represent a diminished view of our business opportunities. On the contrary, we and many independent third-parties, believe the market opportunity for banking-as-a-service capabilities is brighter than ever and we believe that by investing more now to take advantage of that opportunities sooner will create long-term value for our shareholders. With that, I'll now turn the call back over to Tom.
Tom Priore: Thank you, Tim. Further to Tim's closing remarks, I thought our audience may be interested to hear expectations shared by highly respected consultancies that strongly reinforce our investment thesis to accelerate our embedded payments and banking technology. According to recently released research conducted by McKinsey and Bain, the embedded finance market is large and growing. Bain estimates the 2021 US market for platforms and enablers at $22 billion in total revenue across payments, lending, banking, and cards and they expect this market to more than double to $51 billion by 2026. They also expect the transaction value of embedded finance will surge from $2.6 trillion to $7 trillion in 2026 or over 10% of total US transaction value. The greatest impact may be seen in B2B payments where estimates are for the market to reach $33.3 trillion by 2026. Their expectations are that embedded payments will take a considerably higher share as buyers shift to e-check, virtual cards, and value-added ACH to streamline operations and simplify AP/AR reconciliation. During this time, the B2B embedded payments market will nearly quadruple from $0.7 trillion to $2.6 trillion with revenues growing proportionally from $1.9 billion to $6.7 billion. Very much in line with our vision, McKinsey noted that small businesses starting up today may never interact with a conventional bank. By logging into their e-commerce or what we would say unified commerce platform like MX merchant, they can open a deposit account, order a debit card, and meet most of their financing needs. The operators of these platforms will embed financial products into a single, seamless, convenient, and easy-to-use customer experience. And their assessment is that the winners will likely provide a full suite of services including some regulatory, oversight, compliance, origination, and fulfillment. Enablers like Priority will take the hassle out of embedded finance for platforms through easy integrations and great servicing should hold the upper hand. We're determined and committed to being among the winners and remind you that we've been at the leading edge of this emerging trend that others are now just recognizing. On slide 20, we've laid out the key reasons why priority is extremely well positioned to succeed over the long-term. Priority has been purpose built and managed with precision. Our market-leading results in the face of quickly changing and somewhat deteriorating economic environments reinforce the strength and agility of our model. The success we produced to date has made us hungrier to win, honing our focus to be at the forefront of the evolution of commerce. None of this would be possible without the customer-centric approach of our team and their willingness to do the work it takes to win. So I want to thank you to all of our Priority employees for the job you've done and will continue to do. As the tide continues to recede, it is revealing which businesses were simply pro-cyclical performers and which have high-value forward-looking products and are built to last. Priority is building for the long-term to be a payments powerhouse, investing to lead the future of unified commerce, accelerating our technology and resources while others retreat. We have through the combination of our payments and banking technology our dedicated people and our client-inspired products the platform necessary to stay ahead of the competition and deliver the winning solutions that our customers demand and our shareholders should expect. We appreciate your time participating on today's call and the ongoing support of our investors and analysts. Operator, we'd now like to open the call for questions.
Operator: Thank you. [Operator Instructions] First question will be from Brian Kinstlinger, Alliance Global Partners.
Brian Kinstlinger: Great. Thanks. I've got a handful of questions. The first question I have is on the expected new Banking-as-a-Service offering. You mentioned the increased investments for that platform to enable you to launch it sooner. I figure in today's economy demand for instant credit is super high. So when is the expected full go live launch with these new investments? And then what kind of risk management is in place to limit defaults?
Tom Priore: Great question, Brian. So look some of it's already launched. So you can go to the website and download the pass forward API guide. And we have customers that are in the process of going live as we speak. So -- and they range from real estate construction software. I apologize for the background noise, Brian. I'm in the middle of New York City which has got to always be something going on. So bear with me for a moment. And then as far as some of the other embedded banking, we're ready to go beta and we'll be out with our initial client group in Q4. And the way we're naturally constructed having transactions authorized through our gateway which will be a prerequisite for fast funding or instant funding gives us an authorization that is coming directly from the networks and we know we're going to get the money in the -- basically at 3 a.m. the next day. So that's going to be a requirement for our customers to be on instant funding as they have to authorize through our gateway products, which is basically doing all those fraud checks at the network level and at the authorization level. And once those transactions are authorized, they have to be funded by the networks. And then on the back end, so I mean, this is a pretty cool feature. I'll tell you we can fund that transaction into a merchant within three minutes after authorization. So we're pretty excited about that capability. And then once we do as we fund it, the -- there'll be some controls on the back end as to how quickly that money and what percentage that money can be swept out of their instant settlement account. So we'll continue to refine that through the beta process. And we're also -- right now we're testing out and I prefer not to speak to it directly, but we're testing out a couple of vendors to additionally put in on the front-end authorization from a fraud tool perspective. And we'll pick the best-in-class once we complete our assessment.
Brian Kinstlinger: Great. That's helpful. And then can you remind us what percentage of your consumer payments revenue comes from retail or CPG. Clearly, you've highlighted the difficulty in the economy? And then maybe which are the top three or four verticals inside the consumer?
Tom Priore: Sure. Just -- and I'm sorry I couldn't quite make out -- you said CPG?
Brian Kinstlinger: Yeah, consumer products -- sorry consumer product or retail. Sorry.
Tom Priore: So – yeah, no worries. I just – it was my line that broke up slightly. Look, our largest segments we do a lot in legal services. Hospitality is the next which is largely small restaurant operators for us. We're not doing a heck of a lot of large chains and both of those are in the high-teens percentage. And then our other large segments really kind of fall-in, I'll say, range between 8% to 13% -- from wholesale trade. We do a lot of B2B. We've got some unique tools there salons, your average barber shops. Medical providers would fall into that category. So it's a – each of those categories kind of fall in those high single digits low double digits percentage of volume and revenue depending on the month. 
Brian Kinstlinger: And so then as we think about that mix, with you can call it a recession we call – call it an economic downturn, sorry, can we still expect 8% to 10% growth in consumer payments business with you adding 4,500 to 5,000 merchants a month? So, we think you can sustain the higher growth of recent? How do you think about those puts and takes?
Tom Priore: Look, we think for us it's sustainable, and that's certainly what we've seen, but that's largely driven by gaining market share number one. And look the other – so, if you look at our boarding trends in Q3, I'll just say, really consistently in the previous quarters, we were doing call it 4,400 to 4,600 merchants a month. But in each of the months in Q3, we were over 5,000 which should inform you why we accelerated our investment to support new sales channels, to drive market share growth and it's showing up in the numbers of new boards. And as that – as those new – as those – that merchant growth compounds, we'll be the beneficiary of that over time. So that's certainly one aspect. The other area of growth, within that channel is exactly why we're pulling forward this investment in some people call it embedded finance. We really just think of embedded finance as tools for unified commerce, but our unified commerce experience, because now we can increase margin by adding banking, adding instant funding, where we are not sharing that revenue, with our reselling partners, either at all, or at the same percentage. And as you look at the dynamic of rising interest rates right, we've got embedded deposits just sitting in our platform that we now have the capability to monetize. So grabbing incremental settlement funds that are running through our SMB business, and now retaining it and accelerating that cash flow to allow our merchants access to those funds faster to negotiate better deals with their suppliers, or whatever else is going to help accelerate the growth of their business. Basically, gives us a higher deposit balance to earn on in addition to the other fees that we can earn. So, we feel very confident about its implementation and the impact it will have on growth within that segment, regardless of the growth of the merchant base, it will only be further accentuated if you will because of the fact that, I think it's pretty obvious we're grabbing market share. 
Brian Kinstlinger: Great. And the last one on the numbers for you or Tim. two things. First of all, if I heard right managed services is going to be -- looks like closer to zero from the $2.2 million. So – that decline. But then on the fourth quarter guidance, at the low end of revenue we'll see revenues similar to the third quarter. Also, you're talking about investing in the Banking-as-a-Service new offering in the prepared remarks. So at that low end, with the increased investments how do you reconcile generating $5 million more of EBITDA compared to the third quarter? 
Tim O'Leary: Great. Thanks, Brian. Happy to jump in on that one. So, I think, if you look at the third quarter, and if you kind of to get to the math you're trying to get to, and you look at the jumping off point you roll that forward into Q4, right? So, if you took the same exact numbers from Q3, roll that into Q4, you'd pick up another 166-plus of revenue and just over $35 million of adjusted EBITDA, which gets you to the low end of the revenue guidance, right? And obviously, there's a range there. And the upper end of that range is 665, which I think we're comfortable with that range. We feel very good about the trends we're seeing on the revenue side. So, if you think about moving towards the higher end of that range from a revenue standpoint, and you look at the incremental EBITDA that needs to be generated to get to the EBITDA range, I think we're looking at obviously a margin expansion needed in the fourth quarter. But we see some tailwinds in the fourth quarter that will aid us in getting to those numbers. I think a number of factors come through. You've got volume-based incentive fees that come from the card networks. And obviously, we continue to post strong volume trends. So we're optimistic on getting those incentive fees. You think about the rising rate environment, which benefits us on the CFTPay business and the deposits that we have there, right? So if you look at the Fed and some of the movements there, every 25 basis points of movement from an interest rate standpoint impacts us to the positive of about $320,000 per quarter from an interest income standpoint. So we've obviously seen some pretty meaningful moves by the Fed at the end of September as well as in early November. And then if you look at some of the curves today, you've got about a 64 -- 80-20 split rather on a 50 versus 75 basis point move in December. So I think we'll continue to benefit on that aspect. And then you've also just got the continued growth in the higher-margin enterprise business, right? So as that business continues to scale, we continue to see very strong enrollment growth in that business. We continue to see an increase in the number of billed clients. So as that continues to scale and outgrow, what it did in the first half of the year, I think you'll see the margin expansion come from all those factors. At the same time I think the investment we've made in the business, from a people and technology standpoint, a lot of that has already been made in the third quarter and year-to-date. So we expect to either maintained or at least slow the growth in those expenses as we continue to push the Banking-as-a-Service product to the market faster.
Brian Kinstlinger: Okay. Thank you so much.
Tom Priore: Maybe putting a fine point on some of the numbers, right? If you look at the sequential growth in enterprise from Q2 to Q3 that -- I'll just say, that sequential growth trend has remained, if not slightly accelerated, so just that level of the quarter. I'm sorry?
Brian Kinstlinger: What you're saying is the managed services revenue, which is a little bit lower margin, is going away and you're replacing it with a little bit more revenue from higher-margin enterprise revenue.
Tom Priore: Yes, much, much higher. So the enterprise revenue, you can see the gross profit percentage is super high, right, 90s percent, and it pretty much all drops to the bottom line. So that along with -- as Tim referenced, we've produced on the acquiring growth throughout the year and feel very confident that we'll be poised to earn incentives that are just lumpy in the way they're rewarded that would come in the fourth quarter. And those two factors give us a high degree of confidence.
Brian Kinstlinger: Great. Thank you.
Operator: [Operator Instructions] The next question will come from Mike Burnt [ph], Singular Research. Please go ahead.
Unidentified Analyst: Hi. Congratulations on the quarter. Thanks also for taking my call. The most significant growth number, I found in your 10-Q for this quarter, was CFTPay. And it's also one of the most significant growth numbers I have seen in a while in the 10-Q. So basically, it went from $2.8 million in the third quarter of 2021 to over $18 million in the third quarter of 2022. Could you talk about your competitive advantage with CFTPay? And could you comment on what kind of growth rate you see continuing in the future please? Thank you.
Tom Priore: Yes. Let me let Tim handle the -- just the growth attributes and then, I'll comment a little bit on the market positioning.
Unidentified Analyst: Great, yes.
Tim O'Leary: Thanks Mike. So if you look at the revenue growth, as Tom and I both mentioned in the prepared remarks, some of that headline growth from a percentage standpoint, is certainly distorted by the fact that the acquisition of Finxera, what we call CFTPay now, that closed on September 17 of last year. So you only had 13 days in the quarter last year from a revenue standpoint. So really nominal levels of revenue last year. So I think the numbers were more reflecting on are the quarter-to-quarter sequential growth that we've talked about where you're seeing 16-plus percent growth from Q2 to Q3 of this year. So very strong growth in the business segment. We expect that to continue for the foreseeable future. But I think the year-over-year comparison is pretty difficult in why you see those wild percentages in the 10-Q that you're referencing.
Unidentified Analyst: Got it.
Tom Priore: And with that said, I think a good measure for its trajectory however is the sequential growth that you've seen between Q2 and Q3, which kind of speaks to the orientation of our product suite in enterprise payments. So within that sector, we provide embedded finance – embedded payments and banking solutions to integrated software partners and also third-party administration of funds. And within that segment we're one of the few if only that have nationwide money transmission licenses that support the business. So we have really been able to garner customers because of the quality of the tech certainly, but also the regulatory rigor that that segment has. We acquired the business under a belief that – and this is going back a couple of years, when we first began the transition of that business, it took the better part of a year to close and transfer the money transmission licenses but that we would enter an environment like the one we're in now, where countercyclical assets would be at a premium. And if you look at the growth that you're seeing at Priority while SMB is a market leader grabbing market share, the outsized growth numbers are coming from segments like our CFTPay product, which is helping consumers through debt resolution, which as you might expect in this environment is getting a lot of attention, a lot of new boards and a lot of new consumers opting on to our administration platform from our partners and we're seeing the benefit of that because they need the assistance. Separately, if you look at the growth in our CPX segment, which is really masked by the wind-down of that managed service customer, CPX on a stand-alone basis, which is our automated payables, product has grown by 69% – just under 69% year-over-year. So it's really the combination of those two areas just outsized growth. We do expect that to continue because as interest rates rise, as cash acceleration becomes important, while automated payables are getting adopted more quickly by businesses, the countercyclical assets we have in consumer finance and other segments that perhaps were resolved differently in a strong economic environment are benefiting us now. So – and that was part of the rationale. So hopefully, that gives you some insight but happy to follow-up if that requires more explanation. 
Unidentified Analyst: Thank you very much.
Operator: Thank you. That will conclude our question-and-answer session. I'll now turn the call back over for closing remarks to Mr. Tom Priore. Please go ahead.
Tom Priore: All right. Well like to thank everybody for taking the time to – for those of you who've been following the Priority story for continuing your interest. And for those on the call who are new to Priority, hopefully this was an insightful call to learn more about our platform and our mission to drive a unified commerce experience that we think is proving itself to be forward-looking and ahead of our peers within the payments segment. So I hope everyone has a great day, great weekend and coming up on the holidays is poised to enjoy those. Thanks very much everybody.
Tim O'Leary: Thank you.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.